Operator: Good morning, ladies and gentlemen, and welcome to the Russel Metals Third Quarter 2014 Conference Call. Today's call will be hosted by Mr. Brian Hedges, President and Chief Executive Officer; Mr. John Reid, Executive Vice President and Chief Operating Officer; and Ms. Marion Britton, Executive Vice President and Chief Financial Officer of Russel Metals Inc. [Operator Instructions] I will now turn the meeting over to Ms. Marion Britton. Please go ahead, Ms. Britton.
Marion E. Britton: Good morning, everyone. I'm going to start by reading our cautionary statement as is standard. Certain statements made on this conference call constitute forward-looking statements or information within the meaning of applicable securities laws, including statements as to our outlook, future events or our future performance. All statements other than statements of historical fact are forward-looking statements. Forward-looking statements are necessarily based on estimates and assumptions that, while considered reasonable by us, inherently involve known and unknown risks, uncertainties and other factors that may cause actual results or events to differ materially from those anticipated in such forward-looking statements. Our actual results could differ materially from those anticipated in our forward-looking statements, including as a result of the risk factors described below on this document or in our MD&A and our Annual Information Form. While we believe that the expectations reflected in our forward-looking statements are reasonable, no assurance can be given that these expectations will prove to be correct, and our forward-looking statements included in this call should not be unduly relied upon. These statements speak only to the date of this call, and except, as required by law, we do not assume any obligation to update any of our forward-looking statements. If you would turn to Page 5 of the conference call package, make some comments on the market conditions. The demand is stable in our markets. Our actual shipments are up 6% over Q3 2013 and consistent with Q2 2014. Our tons shipped continue to be stronger than the industry in both Canada and in U.S. The pricing, metals service centers selling price for the Q3 2014 was up 8% compared to Q3 2013. Although, you will note, we've mentioned that steel pricing seems to be reversing in the end of Q3 going into Q4 from -- it had been rising for the last 6 months. Drilling activity in Western Canada and in the U.S. is up. Although, there is much uncertainty out there, due to lower oil prices. Steel distributors had a very strong quarter with higher volumes and higher selling prices. Turning over to Page 6. I’ll highlight some of the numbers. Q3, our earnings were $33 million and EPS of $0.54, compared to Q3 '13 of EPS of $0.31 and Q2 2014 of $0.50. For the 9 months ended, we've now recorded $93 million of earnings and EPS of $1.51, which compares to the 9 months in 2013 of $1. The higher EBIT at our Apex operations are positive due to improvement in Alberta, improvement from contributions from our latest acquisition, Apex Monarch and improvement in our U.S. operations, was good in the EBIT line but didn't result enough in us having to do an additional -- record additional accrual, related to the earn out for the Apex acquisition. The additional accrual has reduced the quarter by $0.06 EPS and we've had to record $0.09 year-to-date. Free cash flow for the 9 months ended was $96 million and for the year, I mean, sorry, for that period it's $1.57 per share compared to $1.20 per share for the 9 months in 2013, very strong return on equity of 13%, and cash and cash equivalents is at $28 million at the end of the quarter. Turning over to the next page. The next page -- in Page 7, we have our chart, which gives information on the prior 3, 4 years and then the 9 months comparative information. I want to point out that our revenue is $0.5 billion higher than we were for the 9 months of 2013, and we will definitely be much stronger for the year than the $3.2 billion that was recorded in 2013. And if you looked down on the return on equity line, the 13% is much stronger than we have done the last couple of years at 9% and our return on capital employed, that's something we use on our return on net assets comparison, is 17%, very strong at this point. Turning onto Page 8. The amount that I mentioned to you on the charge for the additional earnout, that is included in the finance expense line and for anybody that wants additional details can see the note to the financial statements. Another item on this page, I was going to just pull your attention to, is the comprehensive income charge down on the bottom there. You'll note, that we've recorded 3.8 in the quarter and we've recorded 6.5 year-to-date. I'm not going through earnings, but other comprehensive income, due to a change in the interest rate used for the pension liabilities. So we've basically reversed everything that we had, had positive last year, in our other comprehensive income rebating to pension liabilities. So if you turn to -- flip to Page 9, you can see the pension and benefits have now gone up from, at the end of the year from $23 million to $31 million related to items going through the other comprehensive income mainly. Another item, I'll just point out on this page, you'll note that we have grouped into asset held for sale and liabilities held for sale. That relates to a small operation we acquired with the Apex acquisition and it has been divested. It closed after the quarter end, be a small -- there will be no gain or loss really on the transaction, but we owned 57% of it, so the minority interest will also go away on the statement, in the fourth quarter. Turning to Page 10, cash flow. You'll note that we have significant utilization of cash related to accounts receivable in the quarter, driven by the higher revenues, no issues on collections at this point. And year-to-date, the accounts receivable has used cash of $164 million. Expect that to come down a bit before year end and will be dependent, I guess, on revenues to some extent. The other item on this page I wanted to point out was the -- under, investing activities, capital expenditures for property, plant and equipment. This is the quarter that we have increased our use of -- our spending on capital expenditures, it was $12 million related to the closing of the Edmonton property and the process has started to put up a building on -- for our plate processing service center in Edmonton. So year-to-date, our CapEx is $37 million compared to $19 million -- $20 million last year. Anticipate the run rate to be slightly higher in the quarter, not higher than the $21.7 million because we do have a couple of items on the go, so we will end up between $45 million and $50 million for the year, I expect. Turning forward to Page 15 in the presentation. Just, on this chart, wanted to point out a couple of things. Our quarter was specifically driven by high revenues. You'll note the -- all 3 segments were up, in particular, energy products was up 41% and steel distributors up 55%. And then also noting the improvement in segment operating profits at energy segment of 101% and steel distributors of 141% over last year, but as a result of the combined, we're up 74% over our same quarter last year. The segment margins, strong. Service center did come down slightly, we'll -- I'll speak to that in a minute. Energy, is more of a mix issue and steel distributors, consistent really, they had product that was already presold so they have pretty good margins on it. And going to the bottom, operating profit as a percent of revenue is 6.1%, for the combined segments compared to 4.6% last quarter last year -- the same quarter last year, which is pretty good result for us. Turning to Page 16. Just note there, the numbers I had mentioned earlier, the 6% tons shipped and the 8%. And we make a comment here that the tons shipped was driven specifically, by Alberta and U.S. operations, which has been consistent with Q2 but also, in the third quarter, we did have a strong quarter in our Quebec operations. Turning to Page 17. We have the year-to-date numbers for -- or the not -- year-to-date for metals service center being 6% tons up over the first 9 months of '13 and our selling price is up 6%. Onto Page 18. We make comments here, in our 3 months, what is driving the increased activity in the quarter. And oil drilling activities, specifically in Western Canada, is up 74% over the third quarter of 2013 and our other operations on a same-store basis, that being we've excluded the acquisition that increased the revenue slightly also, is up 23%. So most of our operations are strong in that segment. Turning onto Page 19. You'll see our comments on steel distributors. Their revenues are up 65%. The increase mainly related to strong steel pricing in this period, and competitively priced offshore material that we have brought in. Turning forward, the comment I'd like to make on Page 22, related to our inventories. Inventory is up in our steel distributors segment, basically based on revenues. The revenues -- I mean, the turns are in line with last quarter, a little less than they were last year because of significant inventory on hand, which -- some of it will -- has been presold and will be shipped in the next quarter. We do expect revenues to continue quite strong in that segment. The area that I wanted to point out specifically, was the energy products. The inventories are down from second quarter as we did have a very strong quarter, and we had turns of 4 in the quarter for energy, which is what we like to see in that quarter. Those are my comments. I'm going to turn it back for questions.
Operator: [Operator Instructions] Your first question is from Brett Levy, Jefferies.
Brett M. Levy - Jefferies LLC, Fixed Income Research: You guys mentioned, that steel prices are starting to slide a little bit at the end of the third quarter, is that continuing into the fourth? And can you talk about the specific areas you're seeing that? AK had their call yesterday and announced that they were raising carbon sheet prices by $20 a ton, across the board. Any comments on, sort of, what you're seeing in your markets, kind of, by product area?
John Gregory Reid: Brett, we started -- the slide really started in mid-Q3. We started to see some of the metal pricing in North America start to slide. That coupled with the increased imports that have continued over the -- really over the last 12 to 15 months, is they continue to come in at high levels. We think, that will continue into the fourth quarter. Scrap is obviously trending down, everything you read says $20 to $30 on the next scrap buy. So I think, AK is trying to establish a floor, or the metal pricing -- trying to establish a floor, if anything, but we're definitely seeing some softening in the pricing right now.
Brett M. Levy - Jefferies LLC, Fixed Income Research: And then how about on the energy tubular side? I mean, is there any relenting, obviously oil prices can't be helping. What are you seeing on the energy tubular side?
Brian R. Hedges: Brett, I think, the energy tubular has been pretty stable for the last year and just over the last month or so there have been some slight increases because of the dumping action. I don't think the pricing is going to move very much. I think that the volumes may come off a little bit. But I think, that pricings there are going to be very stable.
Brett M. Levy - Jefferies LLC, Fixed Income Research: All right. And then in terms of like you guys' market share, is there -- are you guys gaining share? Is that a measurable item for you guys because, I mean, it seems like the year-over-year step-up for you guys has been dramatic?
John Gregory Reid: We've gained share in both Canada and the U.S. this year, on the service center side of the business. And so we continue to do so. Part of that's through again, the value-added process and that we've invested in over the last 2 years we continue to gain it.
Brett M. Levy - Jefferies LLC, Fixed Income Research: And that takes -- it's a logical lead-in, are you guys going to continue to invest. I mean, as you look into 2015 and your CapEx budget there, are you kind of moving down the path towards being a bit more of a processor and do you have plans for significant additional CapEx for value-add in 2015?
John Gregory Reid: We're consistently looking at each individual market in each region that we're in, for those opportunities. We see some more greenfield opportunities, specifically in the States. But yes, we'll continue to look at each region, just to see if that processing makes sense and work in conjunction with our customer base.
Brett M. Levy - Jefferies LLC, Fixed Income Research: And maybe, I didn't get a full answer to the first question. I sort of was looking for a breakdown by kind of, product area. I know that, that plate actually has shown some strength recently in Canada, due to some trade actions. Can you just sort of talk by product area, what you're seeing on the pricing side?
John Gregory Reid: Flat roll, again, we mentioned is softened and we see it continuing to soften. Hopefully, will hold steady going in though Q4 with AK's recent attempt. Hot rolled plate has softened in the U.S. It has firmed some in Canada. But we do see softness in that product as well. Long product is probably your most stable on the service center side. And then again, as Brian mentioned, on the oil country tubular side we're pretty stable right now, on price.
Operator: Your next question is from Anthony Zicha, Scotiabank.
Anthony Zicha - Scotiabank Global Banking and Markets, Research Division: Brian, within the energy segment, what's Russel's exposure to OpEx-related work versus CapEx-related work? And can you give us some color on the near term energy outlook, and what kind of, if any, challenges were seen and if there is any activity slow down as a result of weaker oil prices?
Brian R. Hedges: I think, short-term being this quarter and into the first quarter, we don't think there's going to be a lot of impact on the actual rate counts and the short-term programs. But longer-term, which tend to be the oil sands, there hasn't been a lot of projects started. So some of the ones we were hoping were going to get started will, I think, will get delayed further. So I think that we won't see the pickup we were hoping for, coming into the next 2 or 3 quarters. So I think, it will impact that. As far as the drill programs for the second half of next year, I don't think we know now. But I mean, if prices stay where they are I would think we'd see a little bit of a drop.
Anthony Zicha - Scotiabank Global Banking and Markets, Research Division: Okay. And if we look your energy inventory-related products, they were similar to levels of same period last year. Are you comfortable with the level of inventory, given the current...
Brian R. Hedges: I'm never comfortable with inventory if we can help it. I think, the positive thing is, we've never turned the energy at 4x before. And this quarter, of course, we had a lot more activity on the pipe side, that's where most of the growth was, for us. So I'm pleased that we're getting our turns up, but we're not -- I'm not satisfied, yet, that we have the turns at where we want them.
Anthony Zicha - Scotiabank Global Banking and Markets, Research Division: Okay. And 1 last question. What are the end markets driving behind the strong volume in the metals service centers? Do you see this trend continuing? And I noticed, that Marion mentioned it on the call that Quebec was a stronger contributor. So does it relate to the municipalities unlocking their budgets now after the [French] been pretty much ended?
John Gregory Reid: We're seeing some pick up in construction. And again, in government spending, especially related to Quebec, so we've seen some pick up there. We're also seeing some pick up to where our customer base is going back into the Northern United States to some degree. Automotive obviously, stays busy although we're not a big player in automotive, that stays busy. That helped the flat roll market in both Canada and the U.S. Really the only big shift that we've seen on the end use market is agriculture continues to slow. The others have stayed pretty much constant with where there've been in the past.
Anthony Zicha - Scotiabank Global Banking and Markets, Research Division: And what about construction, John?
John Gregory Reid: It's improving. It's again -- it's a slow steady climb in both the U.S. and in Canada, but it continues to improve. But again, it's -- we don't have as far to go as where we started, but again, we're getting better but it's nothing that's substantial gains.
Operator: Your next question is from Sara O'Brien, RBC Capital Markets.
Sara O'Brien - RBC Capital Markets, LLC, Research Division: Can you comment on the service centers, given that pricing has softened, is there a potential inventory write-down or margin -- further margin pressure that comes in Q4 from this?
John Gregory Reid: The write-down we're not as concerned about, Sarah. We typically turn our inventory again, closer to 4.5 to 5 turns. We watch the excess inventory on a monthly basis and address it in the service centers. So we're not as concerned there. Margin pressure will continue. We've been taking share now for 6 quarters, so we'll see some reaction also with the continued price pressure down. Turns help us defend against that so we get to the bottom faster than others.
Brian R. Hedges: If you remember in '09 that when we did actually have to take a write-down in most of the areas. We had collateral up around -- up over $1000 and it dropped down to where we are today or below where we are today. We don't have that exposure in the pricing today. There is a -- the mill's breakeven, it's pretty close to where they're selling now so they're not going to -- we're not going to have a $500 or $600 drop in drop in flat roll. So I'm not worried about that. You might have margin compression, but you won't have write-downs.
Sara O'Brien - RBC Capital Markets, LLC, Research Division: Okay. And I'm just wondering, are you seeing margin compression because you're taking market share, like is that part of what's driving your market share gains?
John Gregory Reid: We're seeing some compression, I think, as our competitors reacted to us. But it's slight there. I think, most of it is because of the imports that are coming in. Again, traditionally, they're well above the traditional levels for the last 12 to 15 months. So I think, as those start to leech out into other areas, that we're seeing pressure from that.
Sara O'Brien - RBC Capital Markets, LLC, Research Division: Okay. And then, in terms of the dividend payout policy, I mean, typically you guys have commented 80% payout is what you strive for. With the current uncertainty, but then -- but your short terms very positive results, I just wonder how you and the Board view that? Is the payout ratio expected to remain in the 80% range or do you get a little bit more cautious on what may come around the corner?
Brian R. Hedges: I don't think we're going to change the payout ratio, but we're cautious. We're not going to step up right now, even though, we have stronger numbers. We're going to want to see a few more quarters of strength before we would consider another increase.
Operator: Your next question is from Justin Wu, GMP Securities.
Justin Wu - GMP Securities L.P., Research Division: Just first the -- in terms of your energy side, the "other operations," is that Apex alone or is there other stuff in there?
Marion E. Britton: Can you repeat that Justin, in relation to the...?
Justin Wu - GMP Securities L.P., Research Division: Yes. It's in your comments, where you compare the quarter-over-quarter. Your last year -- this year versus last year in the energy.
Marion E. Britton: Other operations?
Justin Wu - GMP Securities L.P., Research Division: Yes.
Marion E. Britton: Okay. So in -- the 74% would include our 2 operations, servicing oil and gas drilling in Western Canada. Everything else is in the other operations, excluding Apex Monarch, which was acquired in the period.
Brian R. Hedges: So that has a combination of Apex and our U.S.
Marion E. Britton: And Comco.
Brian R. Hedges: And Comco. So it's a combination of both.
Marion E. Britton: And the Canadian is stronger than the U.S., I'll be honest there. I mean, we -- its, the 23% is driven more by Apex and Comco than it is by the Pioneer and Spartan.
Justin Wu - GMP Securities L.P., Research Division: Okay. And reading from your comments, it sounds like you've made some really strong progress on the Remington side. If -- I, kind of, recall when you guys made that acquisition of Apex, the U.S. side of things wasn't nearly as profitable as the Canadian side. So are you basically saying that, that business has, is -- what's the level of profitability on Remington versus Apex Canada?
Brian R. Hedges: The Remington operations have done a fabulous turnaround in the last year. The new manager that's looking after it and all the people down there have responded very well, to staying focused on the store business down there. So they're now getting the kinds of returns we want and you know, I mean, our incremental number is always 15%. And they're now getting those kinds of returns and better than that. They're not quite up to where Apex is, but they're doing very, very well, and they've had amazing turnaround in the 12 months.
Justin Wu - GMP Securities L.P., Research Division: Okay, but there's nothing structurally that would prevent that business from achieving similar returns that the Canadian side sees, is that correct?
Brian R. Hedges: No.
Justin Wu - GMP Securities L.P., Research Division: And then, and any sense how close they are to getting to that level?
John Gregory Reid: They're closer than they were, but I'm not going to comment on where they're going.
Marion E. Britton: Well it seems also, there is, Justin, we're going to probably do some more greenfields in that area, more so than in Canada. And the first 6 months to a year of a greenfield doesn't achieve what it does after that point. So I think, what that thing is to make sure all our -- the mature stores are getting there and then work on growing the business. We think it's a growth area.
Justin Wu - GMP Securities L.P., Research Division: Okay. So in terms of the changes you made there, so management changes, is it just -- sounds like just a stronger focus on providing better service. Is that all that was required to...?
Brian R. Hedges: Well it's a focus on doing the same -- addressing the same segment as we do in Canada, which is really the field service stores. And that's what we're focused on, less on the midstream and the big business. So we've changed the emphasis on what they're looking at and driven the focus down to the stores themselves.
Justin Wu - GMP Securities L.P., Research Division: And just to kind of follow on the Apex and Anthony's question earlier. Presumably, Apex is more of a -- an OpEx type of business, and with the concerns with where oil prices are, perhaps some of the service guys or drillers will kind of run their rigs harder rather than spending on new -- punching new holes. So is that something that you guys see as a benefit for Apex? If lower oil prices kind of drive up OpEx costs or maintenance costs?
Brian R. Hedges: I'd like to say yes, but I haven't really thought about that aspect of it. I don't think it will offset. If there's a softness in the rig counts, caused by lower activity that will negatively impact Apex as well as everybody else. I don't think there'll be any benefit that would be -- that would offset that slightly, but that I don't think it would be enough.
Marion E. Britton: But their operations will not -- or, in the norm, doesn't see the same retraction in levels as you see in the downhill drilling area. So we will -- I don't think what you're saying will offset it, but it may offset a little bit of the retraction in the other side.
John Gregory Reid: It's typically more muted for them because, of your point, Justin. But then again, there will be a -- there will be a downturn and will be impacted.
Justin Wu - GMP Securities L.P., Research Division: And can you again, just comment on what's happening on the line pipe side of the -- of your business, if you're seeing any pick up there?
Brian R. Hedges: Yes. The line pipe, particularly, in the United States, which is one of our midstream type of market. The large diameter pipe business has really started to pick up. The mills are booked out further. So there's some strength coming back into that collection -- that side of the collection business. So we see a better year coming up in that area and probably that will happen regardless of what the oil prices do. So this is the collections systems.
Justin Wu - GMP Securities L.P., Research Division: And just my last question on the turns -- the inventory turns on the energy side. Is -- do you think, this level is sustainable or do you kind of anticipate pulling back to what we saw in the last couple of quarters?
Brian R. Hedges: No. We think it's sustainable. I mean, you'll always have the drop-off in the second quarter, when the barrel patch shuts down in Canada. But other than that, we want the other 3 quarters to be at these levels or higher.
Operator: Your next question is from Bert Powell, BMO Capital Markets.
Adel Kanso - BMO Capital Markets Canada: This is Adel Kanso calling in for Bert Powell. Question, with regards to the inventory, can you comment on the embedded steel price there?
Brian R. Hedges: In what? Energy, or in the overall inventory?
Adel Kanso - BMO Capital Markets Canada: In overall volume.
Marion E. Britton: So are you questioning how comfortable we are with the level of pricing?
Adel Kanso - BMO Capital Markets Canada: I'm just wondering if you can comment on the embedded steel price at the metal service centers?
Brian R. Hedges: I don't understand the question. That is the steel price, we buy steel and thats...
Marion E. Britton: And we're, and consistent with the market, I mean, we use average pricing. So it does average up with the increases that we saw previously and as the price goes down, it will go down slightly. But it's just an average mix of everything we are holding. But there is no concern in write-downs as we mentioned earlier, because price of steel has not been that high and therefore, very unlikely for it to drop that much.
Operator: Your next question is from David Galison, CIBC.
David Galison - CIBC World Markets Inc., Research Division: So my first question, is on the distributor segment. You saw a stronger results this quarter. I think, you had said that you had some orders you were filling from the first half. Have you filled most of those orders or is there still -- looking at the inventory build, just wondering if you still have more coming or how we should think about that?
Brian R. Hedges: No. We're on the -- we'll have another good quarter of receipts and billings this quarter. We also have the Canadian build up for the winter because obviously the Great Lakes freeze over. We have that seasonally. So there's more strength this year because the spread between North American steel prices and offshore is still at a relatively high number. So we'll continue to have a pretty good strength there in the next 2 quarters. And then, beyond that, we don't have visibility right now.
David Galison - CIBC World Markets Inc., Research Division: So should we expect similar, I guess, margin levels over the next couple of quarters as well then that we saw this quarter?
Brian R. Hedges: I think, the volumes will hold up. I think your margins will probably come off slightly. Because there's going to be more pricing pressure out there, because of the volume of imports that have come in.
David Galison - CIBC World Markets Inc., Research Division: Okay. So then the second question is on the service center segment. So just on gross margins, my understanding was that under a stable pricing environment, you're looking at 21% to 22% gross margins. But we actually had a rising pricing environment. So just wondering, if you could touch on that, should we think of -- should I be thinking of a lower, I guess, level or is it just a near-term type of thing?
John Gregory Reid: I think it's more of a near-term type thing. Again, when you started to see the North American mills coming off in the middle of Q3, and you continue to see the imports coming in at an inflated level. The pricing pressure was there and it moved pretty quickly into the market cycle. More so than is in a traditional market plus we're going into Q4 with your seasonality. So don't anticipate further pressure on that.
Marion E. Britton: I don't expect any growth in the margin on the next quarter, David, just so you know.
David Galison - CIBC World Markets Inc., Research Division: I'm sorry, could you repeat that.
Marion E. Britton: I don't expect growth in the margin. So like, similar margins or slight compression from where we are in this quarter for service centers.
Operator: [Operator Instructions] Your next question is from Frederick Bastien, Raymond James.
Frederic Bastien - Raymond James Ltd., Research Division: We've been talking about margin pressure, a bit on the metals service center side, but I was wondering if you can provide a bit of background on where you see demand on both sides of the border?
John Gregory Reid: Fred, I think, Q4, right now, what we're seeing demand is, again, more the same on a daily basis and will be fairly stable through Q4. Q1 gets a little bit murky right now, with again, with the imports obviously with the price of oil that we're looking at. You've got political change in the U.S, so that's again, for Q1, it’s a little bit more murky pattern right now. But Q4, I think we're fine, excluding obviously the seasonality for both U.S. and Canada.
Frederic Bastien - Raymond James Ltd., Research Division: And in terms of, I mean, we've seen a bit of construction in U.S. pick up in the second half of 2014. Now recognizing most of the pickup you generally see from construction is -- happens in Canada. Have you been able to get increased volume from that particular sector in the U.S.?
John Gregory Reid: We have seen some improvement there. It's not what I would call material for us at this point, although the U.S. numbers are starting to slightly come up a little bit now, for construction overall. But we definitely are seeing some pick up.
Frederic Bastien - Raymond James Ltd., Research Division: Okay. And I -- do I see correctly that you wrote off a $5 million of inventory on the line pipe side?
Marion E. Britton: That is correct.
John Gregory Reid: That's correct.
Marion E. Britton: That's related to Pioneer and us revisiting the use of it for future projects and aging.
Frederic Bastien - Raymond James Ltd., Research Division: Okay. So...
Marion E. Britton: We're aggressively looking at aging on all of our material, it's been the focus of management all of this year, that we've got inventory that is not turning, that has aged. You can only -- you can get better turns if you get rid of some of that aged and -- we're still on -- our management teams about it.
Frederic Bastien - Raymond James Ltd., Research Division: So it would have been even better results from energy?
Marion E. Britton: Yes. Right.
Frederic Bastien - Raymond James Ltd., Research Division: How much of -- I mean, can you quantify the amount of inventory that is potentially -- I wouldn't say at risk, but something else, the amount of inventory that you're tracking for obsolescence?
Marion E. Britton: I don't really have a number that I'm going to give out Frederic. We -- it varies unit-by-unit. I'll be honest, I mean, the U.S. operation had been doing very well in its line pipe and it fell off, and so it becomes more obvious when they're less busy, but we are tracking it within each of our operations.
Operator: Thank you. There are no further questions at this time. Please proceed.
Marion E. Britton: Okay. Thanks, everyone, for joining the call and we'll talk to you next quarter.